- : Tony Butler - EF Hutton
Operator: Greetings, and welcome to the Rain Oncology, Inc. First Quarter 2023 Earnings Call. At this time, all participants are in a listen-only mode. A brief question-and-answer session will follow the formal presentation. [Operator Instructions]. As a reminder, this conference is being recorded. It is now my pleasure to introduce your host, Dan Ferry. Thank you, Dan. You may begin.
Dan Ferry: Thank you, operator, and good afternoon, everyone. With me today on the phone are Avanish Vellanki, Chief Executive Officer of Rain Oncology; Dr. Robert Doebele, Chief Scientific Officer; Dr. Richard Bryce, Chief Medical Officer; and Nelson Cabatuan, SVP of Finance. During today's call, Avanish will provide an update on the broader strategic vision for the milademetan franchise. Bob will review the biology and rationale of p53 reactivation and discuss possibilities for future clinical development of milademetan based on non-clinical research. Richard will provide an update on Rain's clinical strategy, and Nelson will review the financials. Before we begin, I would like to remind you that statements made during this conference call that are not historical facts are forward-looking statements within the meaning of the Private Securities Litigation Reform Act of 1995. These forward-looking statements are based upon Rain's current expectations and involve assumptions that may never materialize or may prove to be incorrect. Actual results could differ materially from those anticipated in such forward-looking statements as a result of various risks and uncertainties as described in Rain's most recent quarterly reports on Form 10-Q filed with Securities and Exchange Commission and other SEC filings. All forward-looking statements made during this conference call are based on management's assumptions in estimates as of today, May 11, 2023. Rain undertakes no obligation to update such statements to reflect events that occur or circumstances that exist after today, except as required by law. With that, I'd like to turn the call over to Avanish Vellanki, CEO of Rain Oncology. Avanish?
Avanish Vellanki: Thank you, Dan, and thanks to everyone for joining us for our first quarter 2023 earnings highlights and corporate update. As Rain continues to drive forward with our late-stage clinical program milademetan or mila our oral small molecule inhibitor of the MDM2-p53 complex, we note this is a very important quarter for the company. I'm happy to report that we have achieved the required number of events to trigger the analysis of the primary endpoint in the global Phase 3 registrational study for milademetan or the MANTRA study and therefore we continue to expect the release of top-line data this quarter. We are very proud of the team at Rain who showed a small company could take a Phase 1 program jump into a robust global registrational Phase 3 trial and aggressively enroll ahead of schedule in building a capital efficient business these capabilities are prerequisites. We hope we get the results we're looking for to enable a potential solution for cancer patients with an unmet medical need. For me, there's embodies the vision we have of being a biotech that exudes urgency and the financial prudence to innovate in this very challenging business of bringing forth new drugs to market. We hope the MANTRA study provides a new solution for patients with dedifferentiated liposarcoma or DDLPS, but further we hope milademetan demonstrates how p53 reactivation could be impactful in treating a broad range of cancer patients. If the MANTRA top-line data are favorable, we believe it will signify that reactivation of p53 matters in cancer. This will be an important validation as we begin to think about our initiatives beyond DDLPS. We've already begun this work with ongoing and imminent plant studies to evaluate mila across several tumor types in the MANTRA-2 in upcoming MANTRA-4 trials, mechanistically p53s supposed to protect us from developing cancer. Today, there are no approved therapies in the treatment of cancer that are aimed at restoring or reactivating this innate anti-cancer agent. There are a multitude of potential indications to be considered with an effective strategy to restore p53, especially if the tolerability profile of mila enables a wide ranging set of combination partners. Bob and Richard will review some of our recent progress and plan next steps with the milademetan franchise. Our cash position at the end of the first quarter provides ample runway to complete all current, ongoing, and planned clinical trials of milademetan. This includes the completion of the ongoing Phase 2 MANTRA-2 basket trial, which continues to enroll across tumor types and the planned Phase 1/2 MANTRA-4 basket trial, which is on track to start by mid-year, all on top of the pivotal MANTRA study. With that, I'd like to turn it over to our President and Chief Scientific Officer, Dr. Bob Doebele. Bob?
Robert Doebele: Thanks, Avanish. Milademetan has been demonstrated to reactivate p53 in both non-clinical models and importantly in DDLPS patients treated in the Phase 1 trial that was recently published in the Journal of Clinical Oncology or JCO. Furthermore, we have seen meaningful tumor reductions in several solid tumor types in the early data from the MANTRA-2 basket study. We eagerly anticipate top-line data from the MANTRA Phase 3 study, which we believe will solidify the role for milademetan in cancer by formally demonstrating that this targeted approach of restoring p53 activity by disrupting the MDM2-p53 complex is meaningful in cancer. Based on its mechanism of action, milademetan should not be limited to liposarcoma as it may become part of a broader strategy to reactivate p53 and numerous tumor types that harbor wild-type TP53. Ultimately up to 50% of all cancers may be addressable by disrupting the MDM2-p53 interaction. Given the critical importance of p53 and the large number of patients potentially affected by MDM2 mediated p53 loss, there's a great interest in targeting the MDM2-p53 complex to restore p53 activity. We continue to believe there exists a large market opportunity for novel therapies such as milademetan in cancer patients, particularly as part of combination therapies in patients whose tumors harbor wild-type p53. Combination therapies could prolong time on targeted or immune therapy by targeting this critical pathway in cancer cells. In a recent collaboration with Memorial Sloan Kettering Cancer Center, we sought to determine efficacy of combination therapy and patient drive lung adenocarcinoma models harboring an oncogenic driver and MDM2 amplification. The data showed that MDM2 inhibition with milademetan and MEK inhibition is synergistic in vitro as evidenced by increased apoptosis compared to either agent alone. Milademetan demonstrated monotherapy in vivo activity on all models tested, including those with EGFR, MET, ALK, RET and KRAS oncogenes, but the addition of a MEK inhibitor substantially enhanced anti-tumor activity in the majority of models. We view these data as compelling given the broad activity across different oncogene-driven models and highlight the potential for combination strategies in oncogene-driven non-small cell lung cancer with MDM2 amplification. These results also strengthen the argument for broader milademetan plus MEK inhibitor combinations across solid tumors with wild-type p53 based on non-clinical data that Rain previously presented at the 2022 EORTC-NCI-AACR meeting. We continue to evaluate additional avenues to innovate with biomarker driven precision therapeutic strategies and the additional potential for milademetan across new indications. At this point, I'll hand it over to our Chief Medical Officer, Richard Bryce, to discuss additional updates around Rain's clinical trial pipeline. Richard?
Richard Bryce: Thank you, Bob, and good afternoon, everyone. As stated earlier, we recently published in the JCO the results of the U101 Phase 1 first-in-human study of milademetan. Those data demonstrated encouraging single agent activity in DDLPS, which prompted our randomized Phase 3 MANTRA trial from which we expect top-line data as previously advised by the end of this quarter. To recap our Phase 3 MANTRA study rapidly accrued 175 patients and we believe the accelerated enrollment speaks to the tremendous unmet need in this patient population. As a reminder, this is an event-driven trial requiring at least 105 progression events to trigger the primary PFS analysis. And as Avanish noted, we have crossed this threshold of the required number of events giving us confidence we will have the top-line results this quarter. We anticipate that should the MANTRA data be supportive, we will submit an NDA for milademetan in DDLPS in the United States with similar submissions in Europe and possibly other regions as well. Moving on to the MANTRA-2 basket study, this is designed to observe the effects of milademetan monotherapy across a range of solid tumors, exhibiting a certain degree of MDM2 amplification. Currently with a central lab confirmed MDM2 gene copy number of eight or greater and per our initial protocol, we are continuing to enroll up to 65 patients and the study is being opened in additional sites throughout the U.S., Europe and the Asia-Pacific region. If the data from this study support meaningful, confirmed, and durable responses across a range of cancers, we intend to pursue a discussion with the FDA to better understand the requirements for a tumor agnostic registrational filing. Alternative strategies were previously discussed in the event that our expectations do not hold up to the initial protocol specified assumptions. Now on to MANTRA-4, our second tumor agnostic basket study, which is a combination study with Roche's atezolizumab. And to reiterate this is a Phase 1/2 trial designed to enroll 30 patients with wild-type p53 advanced solid tumors that also exhibit loss of function of the CDKN2A gene. This strategy targeting tumors with CDKN2A loss could potentially target over 40,000 patients per year in the United States. We remain on track to start the MANTRA-4 trial in mid-2023 and we hope to rapidly progress the initial dose escalation portion of this trial into the efficacy signal seeking phase, supporting our strategy to expand the potential use of milademetan beyond DDLPS. So with the imminent MANTRA trial readouts and additionally the opportunities that may arise from the two basket studies in patients with tumors that are either MDM2 gene amplified or with CDKN2A loss together with our first combination data with a checkpoints inhibitor in the latter, we are excited by the potential benefits for patients and the future commercial opportunities across a wide range of cancers and patient populations. With that, let me now turn it over to Nelson to review our financial results. Nelson?
Nelson Cabatuan: Thank you, Richard. I am pleased to provide an update for financial results for the first quarter ended March 31, 2023. I would also like to invite you to review our quarterly report on Form 10-Q filed today for more details. For the three months ended March 31, 2023, Rain reported a net loss of $20.5 million as compared to net loss of $17.4 million for the same period in 2022. Net loss per share for the three months ended March 31, 2023, was $0.56 as compared to net loss per share of $0.66 for the same period in 2022. Research and development expenses were $16.7 million for the three months ended March 31, 2023, as compared to $13.6 million for the same period in 2022. The increase was primarily related to clinical trial cost for mila, higher payroll-related costs for our R&D personnel, and various other R&D costs for mila. General and administrative expenses were $5.1 million for the three months ended March 31, 2023, as compared to $3.9 million for the same period in 2022. The increase was primarily due to higher professional services and legal cost as well as higher payroll-related cost. Total non-cash stock-based compensation expenses were approximately $1.6 million for the three months ended March 31, 2023, as compared to $1.2 million for the same period in 2022. As of the first quarter ended March 31, 2023, Rain had $109.8 million in cash, cash equivalents and short-term investments. Consistent with the prior earnings call, Rain will not provide guidance in cash runway at this time. At quarter ended March 31, 2023, our cash position provides runway to complete all ongoing and planned clinical trials of milademetan including the Phase 3 MANTRA trial in liposarcoma, Phase 2 MANTRA-2 basket trial and the planned Phase 1/2 MANTRA-4 basket trial. We will continue to assess our cash runway and provide further guidance if appropriate after the release of our MANTRA top-line results this quarter. For the first quarter ended March 31, 2023, Rain had approximately 36.4 million shares of common tax outstanding. With that, I'll turn to call back over to Avanish.
Avanish Vellanki: Thanks, Nelson. With that, we'll be happy to answer any questions. Operator?
Operator: Thank you. We will now be conducting a question-and-answer session. [Operator Instructions]. The first question is from Yigal Nochomovitz of Citigroup. Please go ahead.
Yigal Nochomovitz: Yes. Hi, thanks for taking the questions. I think, Bob, you mentioned that you saw some early signs of tumor reductions in several solid tumors. If I heard you correctly, in the MDM2 amp basket trial, could you expand a little bit on that? What solid tumors and did you see a correlation with MDM2 copy number and were these all the wild-type p53 patients? Thanks.
Avanish Vellanki: Thanks for the question, Yigal. Bob?
Robert Doebele: Yes. We have nothing new to report from what we reported in 2022. But you'll recall that we saw tumor reductions in patients with lung cancer, pancreatic cancer, breast cancer, and biliary cancer. At that time, there was no correlation with copy number other than the fact that they were all amplified and yes, all the patients were p53 wild-type.
Operator: The next question is from Michael Schmidt of Guggenheim. Please go ahead.
Michael Schmidt: Hey guys, thanks for taking my question. On the MANTRA trial great to see that you reached the number of events now for the primary endpoint. Will the study have enough follow-up to also have a view on mature OS at this point or is it too early? And then assuming success, what are good pricing analogs as we sort of model this out, anything that comes to mind? Thanks.
Avanish Vellanki: Thanks for the question, Michael. I'll turn over to you, Richard, for the first part of that and I'll take the second pricing question. Richard?
Richard Bryce: Sure. Thanks, Michael. So, regarding OS, there will be an interim look at the OS data. It will be immature at as written into the SAP. So I think it will be meaningless. So the primary analysis is obviously based on PFS.
Avanish Vellanki: And Michael to answer the second question regarding pricing analogs, I think the comps that we use broadly speaking for pricing assumptions, potential pricing assumptions if we were to go to the next step, we look at programs in the gist space ripretinib is one analog we would look to, we could also look at other subpopulations in the sarcoma space in more rare indications like PEComa, CRO [ph] is another comp we'd look to. So those represent some pretty good comps for potential pricing.
Operator: The next question is from Joe Catanzaro of Piper Sandler. Please go ahead.
Joe Catanzaro: Hey guys, thanks so much for taking my questions here. Maybe first one, I know you guys have spoken on this a little bit in the past, but wondering if you have any sort of updated thoughts on the level of disclosure that we should expect in a top-line release as it relates to PFS and median hazard ratio, p values. And then Bob on the MEK inhibitor combination and pre-clinically, I'm wondering if we understand sort of the mechanism of cooperativity there and whether it can be extrapolated to other targeted kinase inhibitors. Thanks.
Avanish Vellanki: Thanks for the question, Joe. Let me take the first one in terms of the level of disclosure and then I'll hand it over to Bob. The comment we'll share there is, we don't know yet that'll be a decision ultimately when we see the data. So we can't comment on what that level of disclosure will currently be. Bob?
Robert Doebele: Yes. Thanks for the question. In terms of the MEK inhibitor combination, there's multiple mechanisms to implicate why there may be synergy. I think we'll -- I'll highlight two recent publications that are of great interest, one that phospho risk downstream mediator of MEK kinase signaling specifically ARC and can phosphorylate and stabilize MDM2 increase in its activity. So inhibition of that pathway may further help reduce MDM's inhibition on p53. The other one is that ARC 2, phosphorylated ARC 2, active ARC 2 can inhibit p53 directly. And so both of those I think provide additional reasons why we're interested in this. And the second part of your question was about extrapolating to TKIs and I or other targeted therapies. And the answer would likely be yes, for example, drugs that target upstream receptor tyrosine kinases would also inhibit the downstream MEK kinase pathway. And therefore we would suspect that that same mechanism might be at play.
Operator: Next question is from Soumit Roy of Jones Trading. Please go ahead.
Soumit Roy: Hello everyone, and congratulations on all the progress. Are you planning to publish any scientific publication on MANTRA trial concurrent with the data, or it's going to be something later in the year?
Avanish Vellanki: Hi Soumit, I'll take that one, which is, we think that ultimately a publication does make sense. We can't comment on the timing of when that would be, but if there's compelling evidence, certainly that could be a treatment changing regimen -- a paradigm shifting regimen, we would ultimately hope to publish that. Sorry, I can't give you any more color on timing.
Soumit Roy: Got it. So should we expect a fair amount of detail when you present the MANTRA data, it's beyond just the top-line like sarcoma subtype or copy number or stratification by lines of therapy, those kind of details will be there.
Avanish Vellanki: So again, we can't comment too much on what the level of disclosure will be, but what we have said in the past is, if the results are favorable, we certainly would hope to garner the support of a future medical conference for a presentation. So we have to be somewhat thoughtful in terms of the extent of the data that we present the top-line, but again the extent of the top-line level of disclosure will be determined at the time of reviewing the data.
Operator: The next question is from Sam Slutsky of LifeSci Capital. Please go ahead.
Sam Slutsky: Hey everyone, good afternoon. Thanks for the questions. Two from me, on the MANTRA study, assuming a positive readout, please remind us what the steps and timelines look like post top-line data to filing the NDA as well as just ex-U.S. filings.
Avanish Vellanki: Hi, Sam, I'm sorry. So did you ask for the stats assumptions or did you ask for the timeline for the NDA? I'm sorry, I didn't hear that correctly.
Sam Slutsky: Yes, it was the stats. So kind of what goes into place post top-line data to get the NDA filing ready for both U.S. submission as well as ex-U.S. and what do those timelines kind of look like typically?
Avanish Vellanki: Sure. So we're not going to comment on NDA timelines just yet. Let's cross the first bridge, I think before we get to that that next step. But I'll pass it over to Richard to review the stats assumptions for the MANTRA study as they were initially designed. Richard?
Richard Bryce: Sure. So very simply, I think we've disclosed this several times before. The stats assumptions and the study was powered on has addresses 0.5 and 94% power to achieve that hence the 105 events that we were looking for.
Avanish Vellanki: Did answer your question, Sam?
Sam Slutsky: Yes. And this -- second one, just on MANTRA-2, anything you're able to say in terms of enrollment rates post the copy number change from 12 to 8 and kind of what that looks like?
Avanish Vellanki: Yes. I'll turn it over to Bob to talk a little bit about it.
Robert Doebele: I think all we can say at this point is enrollment is picked up substantially due to a number of factors we think lowering the copy number may be one of them, but we're very pleased with enrollment rates right now.
Operator: The next question is from Jeff Jones of Oppenheimer. Please go ahead.
Jeff Jones: Thanks, guys, and congratulations on reaching the required number of events. I think what I've got left how should we be thinking about timelines for MANTRA-4 given the dose de-escalation design before moving into that Phase 2? Obviously, it goes to burn rate as well, but just ballpark, how should we be thinking about timing there?
Avanish Vellanki: Sure. Thanks for the question, Jeff. Let me turn that one over to Richard. Richard?
Richard Bryce: Sure, Jeff. So we're absolutely on track to start the MANTRA-4 trial in the mid-year timeframe.
Avanish Vellanki: And in terms of the timelines for enrolling the first part of the safety part before the second part the other part of Jeff's question.
Richard Bryce: So we had -- sorry, yes, to answer that, that's kind of a little bit difficult. It's how long it's a piece of stringing away the based on whether we need to deescalate or not. So the study will open at a small number of sites for the safety portion. And it's really hard to speculate, Jeff. If we don't have to deescalate, then three patients and we kind of move on it really depends on what we see with that initial cohort.
Avanish Vellanki: And just to remind everyone in terms of what we've previously said publicly, this is a very large patient population in the U.S. and this overall is planned to be a 30-patient study. So we do expect that finding patients is readily achievable. And so as Richard just mentioned, the first three patients may all -- be all it takes before we move on to the second phase for the signal finding part of the study. So it could be rather rapid, but we can't really put a timeline on it just yet.
Operator: The next question is from Faisal Khurshid of SVB Securities. Please go ahead.
Faisal Khurshid: Hey guys, thanks for taking the question. Two from me. One on MANTRA. Can you discuss what evidence supports the three-month assumption for the control arm, especially if there's any evidence beyond the commonly cited J&J Phase 3 study? And then on MANTRA-2, could you discuss what gives you confidence in the copy number cutoff that you're using and why you think it shouldn't be any higher or any lower?
Avanish Vellanki: Sure. Sure. Thanks for the question, Faisal. Let me turn both of those questions over to Bob on both the MANTRA assumptions for the control arm as well as the copy number.
Robert Doebele: Yes. So in terms of the first question, the MANTRA study, of course was based on primarily the observational data from the registrational trial of trabectedin. So that median PFS was 2.2 months, of course, we built in some additional cushion almost a 50% improvement in that, 2.2 months to three months. And that remains the only perspective quality data set that, that we're aware of. Most other publications are either retrospective, which are subject to enormous bias as well as intermingling of patients that may have either well diff or non-well diff, dediff liposarcoma subtypes. In terms of the second question, confidence around the copy number, early on we saw activity below copy number 12 and patients who are still amplified. So we're relatively confident that our copy number is a reasonable cutoff for inclusion in the trial. You'll remember also that we've done mutual exclusivity analysis and that patients that this copy number are very unlikely to have inactivating p53 mutations, several lines of evidence suggesting that we're at a very reasonable biomarker cutoff for this population patients.
Avanish Vellanki: Did I answer the question, Faisal?
Faisal Khurshid: Yes, that was great. Thank you.
Avanish Vellanki: Thank you.
Operator: The next question is from Mitchell Kapoor of H.C. Wainwright. Please go ahead.
Mitchell Kapoor: Hey everyone thanks for taking the questions. Just wanted to ask a little bit on the solid tumor plans. You've mentioned previously that you have three different plans you could pursue with MANTRA-2, the tumor agnostic strategy, the expansion strategy, and then combinations as a last resort. I'm just wondering, even if you're showing good data as a monotherapy, would you still have plans to follow-up with a combination strategy in these MDM2 amplified patients beyond the combinations that you would be pursuing with MANTRA-4?
Avanish Vellanki: Sure. So let me start that and I'll ask Richard to follow-up in case I'm missing anything. You're absolutely right. So we did articulate previously three potential avenues to achieve success in the MANTRA-2 and MDM2 amp basket study. If we see monotherapy activity with durable confirmed responses across a variety of tumor types, and as we mentioned, we're continuing to enroll across all tumor types, then the expectation would be to have a conversation with the agency and pursue that strategy. Again, that is if the responses are durable, confirmed across tumor types, obviously there's quite a few permutations as to how this could proceed and to look at the potential range of options we could see potentially responses without durability in some tumors, durable in some tumors, maybe we don't see durability across the Board. I think we want to certainly ensure that we pick the route that has the best regulatory shot of success and we'll need to review the totality of the data before we make that that decision. So that certainly to say that we could see some monotherapy activity, but perhaps we might need to go down an additional avenue in order to achieve a level of efficacy that that we think would get registrational support. I think that's all we could say today with the information that's currently available. Richard, anything to add there?
Richard Bryce: No, I think you covered it from a strategic level. I think the only thing to sort of add into the mix here is that there is a lot of interest in academic centers and elsewhere in potential combination partners in this specific population with patients who, as we know, because I think we shared the data at the time of the interim analysis who have multiple other sort of co-mutations. And so it makes sense to explore all possibilities to look at those, whether they be in the context of company sponsored trials or ISTs. So there's many opportunities to look at this moving forward and we just need to figure out, what makes sense and what the priorities are for addressing these.
Mitchell Kapoor: Okay. Great. Thanks. And then just on the liposarcoma launch strategy, could you just kind of remind us what that would look out -- look like for a rollout potentially how many reps you would need in the U.S. for a launch?
Avanish Vellanki: Sure. So I'll address that. We're not going to say too much here. Apologies for that because we do want to cross the key inflection point for this -- for the company of the data. But in terms of previously made public comments around what the sizing could look like, we've said in the range of 25 to 35 domestic sales reps to launch for this market size. We've also said that we would that Rain would pursue a commercial effort with our internal capabilities. But that we would look to partner ex-U.S. That's the extent of the prior public comments we've made so far.
Operator: The next question is from Graig Suvannavejh of Mizuho Securities. Please go ahead.
Avantika Joshi: Hi guys, this is Avantika on for Graig. I just had a quick question about MANTRA-2. I know you had previously said that you were planning on opening clinical sites outside of the U.S. Has this happened yet? And then a second question is, are you thinking about providing any more timeline guidelines for another readout for MANTRA-2?
Avanish Vellanki: Hi Avantika thanks for the question. So I will talk to the second part of that in terms of guidance for the MANTRA-2 study. We're not providing any additional guidance or additional presentations at this current time. So there's nothing new we can share there. With regards to the first part of your question, I'll turn that over to Richard with regards to the ex-U.S. site expansion plan. Richard?
Richard Bryce: Yes. So forgive me if I don't answer the question directly because I wasn't sure I sort of picked up right entirely. There are -- our challenge here is finding sites that have a molecular genomic screening program in place already in place. So that's drives the countries and individual centers that we will move to and approach. So we do have those -- we haven't -- I don't think we're in a position to disclose exactly which countries and obviously which sites we're going to go to, but we are on track to introduce those additional up to 20 sites in the next two months to three months.
Avantika Joshi: Got it. Thank you. And then, just one question, this is more of a scenario question, but hopefully this doesn't happen. But assuming MANTRA doesn't readout positively, can you share if you've thought about it, your any implications for continuing or even discontinuing MANTRA-2 and MANTRA-4?
Avanish Vellanki: Yes, I'll take that question, Avantika. So it's a great question, and of course, internally we've gone through certainly scenario planning efforts. I don't think we're in a position yet to talk about those scenarios today. I think we want to let the data, the quality of the data will certainly dictate what those scenarios will look like. And therefore, I think it'd be premature and probably inappropriate to comment on those scenarios today. Apologies for that.
Operator: The next question is from Tony Butler of EF Hutton. Please go ahead.
Tony Butler: Avanish and Bob maybe this question probably pretty simple. I recall in Gounder, I think in JCO the phrase growth arrest obviously the phrase is obvious to what may be going on at the tumor site. But one of the things that I wanted to explore is that that I don't know is that I think you all had evaluated tumor growth kinetics before. And so the question is in DDLPS is tumor heterogeneity sufficiently high that tumor growth kinetics can actually vary by individual cells within that overall tumor per patient. And the reason I ask is because the -- again the notion of growth arrest is really important, especially in maybe part of the tumor, maybe another part of the tumor where it may not have an effect because the kinetics change. Is that true or false? Thanks for the time.
Avanish Vellanki: Well, thanks for the question, Tony. I'll turn that one over to Bob.
Robert Doebele: Yes. I'll try and tackle as a lot in there. But the -- in terms of growth arrest, so remember p53 reactivation can induce growth arrest or apoptosis. When we're dealing with liposarcoma specifically, you'll recall that tumors don't shrink in most cases with any therapies even current standard of care aggressive chemotherapies that may not necessarily be to lack of cancer cell death. Remember, these cells are higher. These tumors contain a very large amount of fatty tissue, stromal tissue and other things that may not go away with cancer cell apoptosis or death. That's part of it. We do know that milademetan can induce tumor shrinkage and even in some cases very rapidly and refer back to our MANTRA-2 data for evidence of that in other tumor types. In terms of the heterogeneity, we know that there are both in dedifferentiated liposarcoma patients there is often well diff components and they may respond differently, but there's not a good handle on that nor validated measures to measure that. Of course, within any cancer patients, there's heterogeneity from patient to patient even with our best therapies that have remarkable response rates, there are always non-responders. And so there's always heterogeneity, but I don't know if that completely answers your question or not. Happy to elaborate further if necessary.
Tony Butler: I think you got -- I appreciate the color around the exact tumor heterogeneity, especially in the sort of WD component of a DD patient and how that might actually be affected by growth arrest. Thank you.
Avanish Vellanki: Thank you, Tony.
Operator: There are no further questions at this time. I would like to turn the floor back over to Avanish Vellanki for closing comments. Please go ahead, sir.
Avanish Vellanki: Thank you, Operator. As a reminder for everyone, we do expect top-line Phase 3 data from the registrational MANTRA study this quarter, and we look forward to reporting that data soon and providing a full company update on our next second quarter earnings call. Thank you.
Operator: Ladies and gentlemen, that concludes today's conference. Thank you for joining us. You may now disconnect your lines. Goodbye.